Operator: Good morning, afternoon, evening, and welcome to the Definitive Healthcare's Third Quarter 2022 Earnings Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask question. [Operator Instructions] Please note that this event is being recorded. I would now like to turn the conference over to David Samuels, Chief Legal Officer. Please go ahead.
David Samuels: Good afternoon and thank you for joining us today to review Definitive Healthcare's Third Quarter 2022 financial results. Joining me on the call today are Robert Musslewhite, CEO; Jason Krantz, Founder and Executive Chairman; and Rick Booth, CFO. During this call, we will make forward-looking statements, including, but not limited to, statements related to our market and future performance and growth opportunities, the benefits of our healthcare commercial intelligence solutions, our competitive position, customer behaviors, our financial guidance, our planned investments and the anticipated impacts of the COVID-19 pandemic and global macroeconomic conditions on our business results and clients and on the health care industry generally. Any looking forward statements are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve a number of risks and uncertainties, including those discussed in the Risk Factors section and elsewhere in our filings with the SEC. Actual results may differ materially from any forward-looking statements. The company undertakes no obligation to revise or update any forward-looking statements to reflect events that may arise after this conference call, except as required by law. For more information, please refer to the cautionary statements included in the earnings release that we have just posted to the Investor Relations portion of our website. Additionally, we will discuss non-GAAP financial measures on this conference call. Please refer to the tables in our earnings release on the Investor Relations portion of our website for a reconciliation of these measures to their most directly comparable GAAP financial measure. With that, I'd like to turn the call over to Robert.
Robert Musslewhite: Thanks, David. I would like to thank all of you for joining us this afternoon to discuss Definitive Healthcare's third quarter results. On today's call, I will review our third quarter results, offer some perspective on what we are seeing in the market and provide a few examples of Definitive Healthcare's differentiated value proposition, and then Jason will highlight some of our latest product innovations. Let me begin by providing a high-level overview of our financial performance. We once again delivered an attractive combination of strong top line growth and substantial profitability. Revenue exceeded the top end of our guidance range, and adjusted EBITDA was at the top end of our range, a clear demonstration of our highly efficient business model. Our total revenue was $57.4 million, which represents 33% year-over-year growth, and our adjusted EBITDA was $16.4 million, which translates into a 29% margin. We signed important wins with new and existing customers in each of our core markets: life sciences, providers, health care IT and diversified. We launched several important new innovations, including our new MonoclExpertData product and our new Passport Express product. We made good progress on the continuing integration of Analytical Wizards into Definitive Healthcare, and we delivered all of these results in a market that has grown increasingly challenging. While the quarter's results were solid, the macro environment is having an impact on our commercial performance. Building on the trend we saw last quarter, deal cycles continued to elongate as customers implemented more stringent approval processes or pushed out final decisions to later periods. And while in Q2, we saw this behavior primarily among new customers, in Q3, this trend expanded to also include upsells to existing customers. Also, it became clear during the quarter that we saw this trend more often with our life science [indiscernible] customers and our provider [indiscernible] customers, both being segments where companies are facing their own set of macro challenges. Based on what we've experienced in the recent quarter and what we are hearing from our customers and prospects, we think it is prudent to assume that this selling environment remains the same or even deteriorates further in the fourth quarter and into 2023. While we remain confident in our ability to achieve our 2022 targets of 33% revenue growth and 29% adjusted EBITDA margins, current economic trends will impact our revenue growth rate in 2023. Rick will provide more detail in his section later in this call. At the same time, we remain confident that growth rates will improve when the macro environment improves for several key reasons. First, we are a must-have solution for clients' growth and expansion, which is their most important endeavor coming out of a downturn. As market conditions improve, we expect that client's first dollar spend will be on driving their own growth and expansion, just as they did coming out of the first wave of COVID. The past decade has seen more automation and an explosion of data-driven digital tools used by sales and marketing teams. There is more data available than ever before about buyers and more pressure for sales and marketing teams to optimize every dollar spent. All of this commercial intelligence helps sales and marketing teams become more efficient in determining what prospects to target, when to target them and the exact message that will be most effective. Definitive Healthcare's ability to bring this data together with a full contextual view of how best to align their sales, marketing, business development, regional expansion and M&A, make our commercial health care intelligence a must have for companies as they begin reinvesting in growth. Second, our sales pipeline continues to grow. Customer and prospect interest in the Definitive Healthcare platform has never been higher as our pipelines have grown to all-time high levels across all our customer segments. Our unique health care commercial intelligence enables customers to accelerate commercialization of their drug, medical device, technology, or any product that they want to sell into the health care market, and that drives continued interest in our platform. Sales and marketing teams from all segments continue to express interest in Definitive Healthcare as a growth tool, and we continue to see a strong volume of inbound leads. And third, our competitive differentiation continues to get stronger. Our Definitive idea remains the industry standard for mapping all the relationships across the health care ecosystem, the very knowledge that companies need to sell in an increasingly complex market. And we believe no one else can deliver the unique value and intelligence that we do by combining data from literally thousands of sources and then running proprietary analytics on top of it. As we continue to invest in data science and artificial intelligence, we're creating new and unique data elements and new algorithms that we put into new products and used to improve existing products, thus making us even more of a must-have product as companies look to grow their way out of the current challenging environment. When you combine all of these factors with an estimated $10 billion or more addressable market that Definitive Healthcare is helping define, it becomes clear why we are confident in our ability to deliver on our long-term growth objectives. To underscore why our platform remains highly appealing to our clients, I would like to walk through a couple of examples that explain the unique Definitive Healthcare value proposition. One of our key differentiators is the ability to integrate our proprietary reference and affiliation data with medical claims and pharmacy claims. We believe we are the only solution provider that offers these data and analytics in an on-demand SaaS environment where clients can get answers in minutes instead of waiting months for a customized consulting report. Our platform enables customers to cut and recut their analysis on demand, adding or subtracting providers, ICD-10 codes or facilities. As a result, customers can get immediate actionable intelligence about their target market that enables them to effectively build and activate sales strategies and adjust as the market changes. Let me give you an example. Let's assume that we have a client with a new drug targeting metastatic lung cancer, and they want to know how many patients in a specific integrated delivery network have this disease. I'm using real data from the Definitive Healthcare platform here, but I'll keep the name of the integrated delivery network confidential. If we look only at all relevant claims filed by health care providers in this IDN, we'd see 6,566 patients who were treated in 2021. However, this number grossly exaggerates the actual number of unique patients. Cancer is a complicated disease to treat, and most patients see multiple doctors in several locations. Using our proprietary reference affiliation and location data, we see that the true number of patients with metastatic lung cancer in 2021 at this IDN is 744. If this client had used only claims data, then they would have overestimated the number of patients by nearly 10x. This type of intelligence is critical for sales and marketing teams to accurately identify the IDNs with the most acute need for their drug, device or product. And it is just one of many examples of how we uniquely deliver highly accurate and targeted and differentiated insight to our clients. Here's another example of the power of our reference affiliation and location data. Let's look at a client that runs sales operations for a medical supply company and needs to map out the best territory coverage plan to optimize their limited sales force. They want to know not only which physicians are affiliated with which health care organizations, but also where these doctors physically practice each day, so that they can send their reps to the correct location. In this scenario, the client targets a large physician group from Texas. Again, we're using real data from the Definitive Healthcare platform, but we'll keep the name of the group confidential. This group has a total of 820 physicians practicing across 250 locations. Of these 250 locations in the physician group, only 64 of them have a national provider ID associated with them, which means without Definitive Healthcare's proprietary affiliation and mapping data, you'd never even know that 186 of these locations are part of the group. On top of that, only 17 of these 64 locations actually file claims. So if the client were to do a pure claims-based analysis for territory planning, then they would miss 233 out of 250 of these physical locations that they needed to target. In addition, due to centralized billing, 72% of the claims go through one location, even though the doctors filing those claims are practicing at another physical location. So if the client sent a sales rep to the location with the most claim volume, odds are that they will be sending them to a billing office and not a location where the doctors are actually treating patients. We believe that only Definitive Healthcare has the unique ability to connect claims data with relationship data to paint an accurate picture of which doctors are seeing which patients at which physical location. And this is due to the 10 years of effort we put to build the aggregation methodologies, linking and cleansing technology, and data science to build this view of the health care ecosystem that only we have. These are just two examples of how our health care commercial intelligence works. But what is most important to us is how our proprietary data and analytics translates into our customers' commercial success. Here are a few real-life case studies. Healthcare Stars, a locum tenens staffing company improved client acquisition by 32%. Contec Professional, a manufacturing company for cleaning supplies, grew its health care business by 130% in one year. A non-profitpediatric health care system identified the 650 sites of care that had the most leakage in their system by better tracking the patient journey. Spear, a cloud-based vertically integrated software and payments technology company, increased its enterprise deal flow by 15%. And a leading pharmaceutical company saved $10 million by accelerating clinical trial enrollment and achieved FDA approval 12 months earlier than anticipated. In addition, we continue to receive outstanding feedback from our customers that explain how our health care commercial intelligence is part of their daily business and is an important tool to help them drive growth. And we have nearly 40 client case studies that highlight this direct feedback on our website. Finally, before I hand it over to Jason to talk about our innovations in the third quarter, I wanted to quickly highlight several exciting deals that closed in Q3. We had a multiyear seven-figure Monocl win at an existing Definitive Healthcare medical device customer. This long-time customer needed intelligence around key opinion leaders to better inform their product development process. Multiple Monocl products will be implemented, including ExpertInsight, Engage and the new ExpertGO mobile app. One of the largest global specialty generic pharmaceutical companies signed a multiyear enterprise deal for our Passport Analytics Suite to improve their market segmentation and analyze their marketing spend to ensure it is spent most efficiently across their different generic brands and channels. One of the world's largest manufacturers of breast-feeding pumps and supplies signed a significant upsell deal to add medical claims and data integrations services to their existing View data products. This company uses Definitive Healthcare to better understand total addressable market, improve segmentation and gain visibility into physicians and DME data. And finally, the leading international manufacturer of commercial ice machines chose Definitive Healthcare to identify hospitals and ambulatory surgery centers that could use their machines. Now I'd like to hand the call over to Jason to talk about product innovation in the third quarter.
Jason Krantz: Thanks, Robert. Our innovation flywheel continues to spend in the third quarter. Of particular note, we shipped Passport Express in August, just six months after we closed the acquisition of Analytical Wizards. Passport Express integrates the comprehensive analytics built by Analytical Wizards with the proprietary data from Definitive Healthcare. Passport Express delivers fast and easy access to off-the-shelf health care commercial intelligence, enabling biopharma companies to better understand treatment pathways, brand behavior and market share. For any given therapy area within Passport Express, we've extracted mission-critical proprietary data from our commercial intelligence platform, including medical and prescription drug claims, physician affiliation information and health care provider reference data. These data are then populated into the Analytical Wizards' environment where customers can instantly query flexible dashboards and powerful visualization tools to quickly get answers to their questions. The integrated data and analytics in Password Express practically eliminates the research requirements and time lines traditionally required for commercial teams to search real-world data, normalize and link it, and then build analytical models on top, saving the months of time and getting them to insight more quickly than they've been able to in the past. This is the first of what we expect to be seeing many innovations to come that will combine the power of the highly proprietary Definitive Healthcare data with the best-in-class commercial analytics platform that Analytical Wizards has developed. The market interest in Passport Express has been very high. Also in the third quarter, we shipped a new ExpertData module. This improves the productivity of medical science liaisons and internal medical affairs teams by providing a seamless way to integrate our proprietary ExpertData with our clients' internal systems. Available in two editions, it can be added to the client's ExpertInsight subscription to create a single enriched and updated view of experts with whom the company works. ExpertData can improve a client's master data management reporting and enables custom analytics around KOL utilization. Finally, we continue to invest in our core Definitive Healthcare platform. We delivered several new features throughout the quarter. I'll highlight a few of those, which are part of our continued efforts to help our clients across the entire health care ecosystem deal with the significant labor shortages that are attached to the entire system. First, a new locum tenens analytics to determine which physicians are working temporarily at a given facility. Based on a proprietary algorithm, this new metric analyzes a physician's recent billing activity and network affiliation to predict locum tenens status. With these metrics, clients can better segment and target the 75,000 locum tenens physicians working in a temporary capacity at a hospital. This is a critical piece of information given the current staffing charges in the U.S. health care system. As you might imagine, staffing is a very fast business. When a health care organization has a need for short-term staffing, it is immediate, and it must be filled very quickly to maintain operational continuity. With this expanded data set, our clients can segment and target locum tenens physicians with a click of a button, placing candidates faster and improving patient care. Second, new skilled nursing facility profiles that provide insight into the staffing turnovers totals for each facility, including nursing staff, registered nurses and administrators. With data on more than 15,000 skilled nursing facilities, users can now identify which facilities have the most turnover, compare it to state and national averages and then assess the quality of care at a given facility. Our platform now offers more than 25 different quality metrics for skilled nursing facilities. Understanding the staffing turnover at facilities helps our clients determine who to target and how to uniquely position their solution or service. For example, staffing companies would be interested in this data to identify facilities with high turnover or who are below state averages, so that they can fill open positions with qualified candidates. In addition, they can use these turnover totals in conjunction with other data like quality metrics to try to identify the root cause of the turnover. These are just two examples of the new data science-based insights that we're continuing to add to our platform and should give you a sense of how we are constantly innovating and adding to our health care commercial intelligence to meet the evolving needs of the industry. Despite the broader macroeconomic headwinds, we continue to invest across our entire platform because we know that Definitive Healthcare offers a growth engine for sales and marketing teams across all industries. As Robert mentioned, when the economy begins to turn, we believe customers have demonstrated that they will seek out our solutions to accelerate their commercial growth. I'd now like to turn to Rick to walk through Definitive Healthcare's financial performance in more detail.
Rick Booth: Thanks, Jason. I'll start with a detailed review of our quarterly results before finishing with our outlook for Q4 and full year 2022, along with some remarks on our 2023 outlook. In all my remarks, I'll be discussing our results on a non-GAAP basis, unless otherwise noted. Our strong business model allowed us to deliver good results in Q3, highlighted by strong revenue growth and profitability despite deteriorating economic conditions. Highlights include 33% revenue growth compared to Q3 2021, 29% adjusted EBITDA margin and a 32% unlevered free cash flow margin over the last 12 months. Revenue growth plus trailing 12-month unlevered free cash flow margin was 66%, putting us well above the Rule of 40. We believe Definitive Healthcare's combination of high growth, high visibility and attractive profitability positions us well in a large and expanding market. Turning to our results in more detail. Revenue for the third quarter was $57.4 million, up 33% from prior year and 2% above the midpoint of our guidance. This performance is driven by strong organic innovation and execution as pro forma organic revenue growth was 27%. We ended the quarter with 504 enterprise customers, which we define as customers with at least $100,000 in ARR. This was an increase of 127 enterprise customers or 34% year-over-year and an increase of 18 enterprise customers from the previous quarter. As a reminder, these customers represent the majority of our ARR and are a key focus of our go-to-market programs. Our total customer count, which includes smaller customers, was 3,022 at the end of Q3, up from 2,769 in Q3 2021. Overall, economic conditions were more challenging in Q3 than they had been in Q2. From a sales and new bookings perspective, deal cycles continued to extend, especially in life sciences and providers. Upsell deal cycles are extending as well. But despite these headwinds, we believe the expansion opportunities remain strong, even if realization is slightly delayed in this environment. Gross profit was $50.8 million, up 35% from Q3 2021. Gross margin of 88.5% increased 93 basis points from Q3 2021 as our prior year investments in prescription claims data scaled. We invested in additional data sources earlier this year, and we expect to see approximately 200 basis points of temporary gross margin compression in 2023, as those sources come online early in Q1 2023. Sales and marketing expense was $18.9 million, up 38% from Q3 2021. As a percentage of revenue, sales and marketing expense was 33% of revenue, up 100 basis points from Q3 2021. The year-over-year increase is a result of investment in our go-to-market organization, such as expanding our digital marketing capabilities and building out our sales and customer success teams as well as the addition of Analytical Wizards. Product development expense was $7 million, up 58% from Q3 2021. As a percentage of revenue, product development expenses were 12% of revenue, up from 10% in Q3 2021. Investing in our platform and using our existing data sets to launch our enhanced multiple products is a highly effective and efficient way for us to increase the value we deliver to customers. Robert and Jason touched on some examples of these earlier, and we will continue to invest in the multiple opportunities we have identified on our long-term product road map. G&A expense was $8.8 million, up 61% from Q3 2021. As a percentage of revenue, G&A expenses were 15% of revenue, up from 13% in Q3 2021, when we had only two weeks of public company expenses in our results. On a sequential basis, G&A was up $1.8 million, including an increased reserve for bad debt expense. We expect to see continued leverage from G&A, both because these costs are relatively fixed as well as due to ongoing efforts to lower administrative costs. Operating income was $15.7 million, up 14% from Q3 2021. As a percentage of revenue, operating income was 27% of revenue compared to 32% in Q3 2021. The year-over-year change in margin is related to three key investments. First, approximately 100 basis points of continued investment in sales and marketing. Second, approximately 200 basis points of innovation investment in product and development. Third, approximately 300 basis points of public company and other G&A costs. Adjusted EBITDA was $16.4 million, a 14% increase from Q3 2021. As a percentage of revenue, adjusted EBITDA was 29% of revenue compared to 33% in Q3 2021 due to the investments in public company costs outlined earlier. Net income in Q3 was $8.9 million or $0.06 per diluted share based on 155.5 million weighted average shares outstanding. Turning to cash flow. Definitive's high margins, upfront billing and low CapEx requirements provide substantial free cash flow generation. We focus on trailing 12-month cash flows due to seasonality. Operating cash flows were $44 million on a trailing 12-month basis, up 48% from $29.7 million in the comparable period a year ago. Unlevered free cash flow was $67.4 million on a trailing 12-month basis, up 14% from the comparable period a year ago. Unlevered free cash flow was 32% of revenue on a trailing 12-month basis, effectively converting more than 100% of our trailing 12-month adjusted EBITDA of $59.8 million into cash. On the balance sheet, we ended the quarter with $350 million in cash and short-term investments. With only $268 million of debt and with our strong profitability and cash flow, we are well positioned to fund both organic and inorganic growth initiatives. Current revenue performance obligations of $159.7 million were up 24% year-over-year and total revenue performance obligations were up 19% year-over-year. Deferred revenue of $84.3 million was up 20% year-over-year. You'll note that cRPO and deferred revenue grew more slowly than revenue. Had cRPO grown at the same rate as revenue, it would be $11.6 million higher as of the end of Q3. This difference is composed of both normal seasonality and the longer booking cycle that we've been discussing. Moving now to guidance for Q4. While demand remains strong, we believe it is prudent to assume that Q3 conditions extend through the fourth quarter as well. Assuming this is the case, in Q4, we would expect total revenue of $58 million to $59 million for a median growth rate of 26%, non-GAAP income from operations of $15 million to $16 million, adjusted EBITDA of $16 million to $17 million or a 28% median EBITDA margin and non-GAAP net income of $6 million to $7 million or $0.03 to $0.04 per diluted share on 156.5 million weighted average shares outstanding. For the full year 2022, this translates into full year 2022 revenue guidance of $220 million to $221 million for a median growth rate of 33%, of which approximately 26% will be organic. We're tightening our ranges for adjusted operating profit, adjusted EBITDA and adjusted net income. Adjusted operating profit is now expected to be between $59 million and $60 million. Adjusted EBITDA is now expected to be between $63 million and $64 million for a full year median margin of 29%, which is consistent with our previous guidance. And adjusted net income is now expected to be between $30 million and $31 million, and earnings per diluted share are expected to be between $0.19 and $0.20 on 155.3 million weighted average shares outstanding. Turning to the outlook for 2023. We don't formally guide for 2023 until our fourth quarter earnings call in February, but I do want to make some high-level remarks now to help investors begin to think through the future impacts of current pipeline friction, given our business model. We will come back with more precision in February once we've seen our year-end bookings. Our subscription revenue model means that the trends that we have already experienced in year-to-date bookings will have an impact on 2023 revenue growth. It is too early to fully quantify projected 2023 results because they are also heavily informed by Q4 bookings, but if the conditions we saw in Q3 continued through the end of the year and through 2023, 2023 revenue growth would be in the mid-teens or approaching 20% with some improvements in conditions. Nonetheless, we are a company that has always valued a balance of growth and profitability. Accordingly, even in a difficult market, we were able to selectively invest in the very highest priority innovations that will position us for long-term growth as the market returns to a more normalized state. Given this, you should expect full year 2023 adjusted EBITDA margins to be similar to our Q4 adjusted EBITDA margin of 28%, temporarily delaying our planned adjusted EBITDA margin expansion by approximately a year. More specifically, this outlook encompasses four major cost drivers. First, the annualization of existing year-to-date hiring. Second, the gross margin impact of the new data sources coming online early in Q1. Third, the impact of cost of living increases on employee wages. And fourth, selective investment in the very highest growth priorities. These costs will be partially offset by continued efficiencies and costs not directly associated with revenue growth. So to summarize, Q3 was a solid quarter for Definitive Healthcare despite current economic headwinds and uncertainty. We are well positioned for the long term, because we have developed a clear leadership position in a large and attractive market that we believe will support high levels of predictable revenue growth, profitability and capital efficiency. I look forward to updating you with more specifics in February. And with that, I'll hand it back to Robert for a few closing thoughts before we take questions.
Robert Musslewhite: Thanks, Rick. Before I open up the call for questions, I want to take a moment to welcome Jon Maack to the Definitive Healthcare leadership team. As you likely saw from the press release this afternoon, Jon has joined Definitive Healthcare as our new President, with responsibility for product management, engineering, corporate strategy and M&A. I've worked with Jon at both the Advisory Board and at Optum, and I'm thrilled that he's decided to join me here at Definitive Healthcare. Jon has a keen strategic mind and decades of health care industry expertise and I'm sure he's going to make a significant contribution to Definitive Healthcare and help us execute on our robust growth strategy. Speaking of our team, our fantastic group of employees continues to do a tremendous job carrying out our mission while creating a great culture, for which we continue to still receive strong external recognition and awards. Just in Q3, we were named the top charitable company in Massachusetts by the Boston Business Journal, and we received a National Stevie Award for Employer of the Year in the Health Products and Services category. We were also recently named a Tech Top 50 winner in the categories of business accomplishment and social responsibility by the Massachusetts Technology Leadership Council. I'm extremely proud of our whole Definitive Healthcare team for their hard work every day on behalf of our customers and their deep commitment to improving our communities. I'll finish by reiterating our confidence in our ability to generate strong growth at scale over time. While our near-term commercial performance is being impacted by the challenging economy, customer interest remains robust and our business remains highly profitable with strong cash flow and tremendous scalability. We have clearly established health care commercial intelligence as a large, growing and strategically important market in which we are tremendously well positioned for years to come. Our solutions help customers drive profitable growth across all stages of the health care market in a way that we believe nobody else can. With that, we will now open the line for your questions.
Operator: [Operator Instructions] Our first question comes from Craig Hettenbach with Morgan Stanley.
Craig Hettenbach: And thanks for the color on 2023, at least early thoughts. And I know Q4 will also shape kind of net dollar retention as you think about 2023. But any early thoughts there as well in terms of how net dollar retention is shaping up and what that means in terms of how you're thinking about next year?
Rick Booth: Yes. Net dollar retention, as you know, is heavily impacted by upsells. We're starting to see some impact there. So we'll best know at the end of Q4. But right now, I would expect it to come in at an overall level, somewhere around 2019 levels, and perhaps have a slightly greater impact on enterprise customers, because those are heavily concentrated in biotechnology and providers. Well actually, let me restate, biotechnology and providers have a higher concentration of enterprise customers, because we have enterprise customers across all our verticals.
Craig Hettenbach: Got it. And then just as a follow-up, I know this year, there's been a lot of investment in sales and marketing and just how you're thinking about that now in a more difficult backdrop and then how you plan to kind of modulate that going into next year?
Rick Booth: Yes. We will, of course, look at that carefully and be sure that our investments are tailored against the highest leverage growth opportunities. We do that every year. But obviously, this year, we want to be careful as we go to next year and put our investments where the most important growth opportunities are. I do want to stress that we're not stopping investment. We really are continuing to invest in the areas where we see growth, and we're continuing to grow very rapidly across all of our client segments. So I'm not anticipating this being a time where we're really pulling back on sales, just a question of being very targeted and where we put additional dollars against our commercial activity.
Operator: Our next question comes from Joe Vruwink with Baird.
Joe Vruwink: Just maybe a question on the broader spend environment. And I suppose this question is specifically aimed at Life Sciences. But earlier today, we heard from Aviva at their Investor Day just talking about how kind of the broader environment as they have seen it hasn't really changed in the last 90 days. So do you think this is maybe a function of just a little bit different exposure for you? Could it be the case that maybe spend is temporarily happening elsewhere? And has there been any change in kind of the overall pipeline as you see it?
Rick Booth: It's a great question. I can't really speak for Aviva. I do know that we try to be direct and candid in all of our street communication. So it may be that they had a luckier quarter.
Robert Musslewhite: So what's behind your question a little bit? The facts we look at out there, win rates have remained consistent. We continue to see very strong demand from our customers across all segments, including in the segments that feel a little more challenged right now, and that includes biotechnology. And we've seen pipelines at their highest level ever. So it's really a question, we're not feeling like there's anything different going on competitively. We're just feeling like deals continue to take longer to close and have more process steps put in that are keeping us from closing the typical amount of deals that we have in a particular quarter. So our sense is we feel tons of demand for what we're doing and clients really want to do it. They're just being held back in a lot of cases by additional processes and additional approval steps.
Operator: Our next question comes from Saket Kalia with Barclays.
Saket Kalia: Robert, maybe just to start with you. Maybe back to that last question. I was wondering if you could talk a little bit about the competitive landscape a little bit. I mean, Definitive has got a lot of proprietary data. We heard a lot of the examples. But I'm curious if you've seen customers consider other options, whether that's third-party providers like an IQVIA or Aviva or maybe even doing something in-house. I know you spend a lot of time with customers. What do you sort of hear on the competitive landscape?
Robert Musslewhite: Yes. I tend to think about competitors in two broad buckets. Before I even start talking about competitors, I want to remind you, as you know, we're very differentiated like no one else can do what we do because we have this proprietary map of the health care ecosystem and the references and affiliations data. When we add new data sources like claims, which a lot of other people have, and we add it to our proprietary data, it enables use cases that no one else can fulfill. And so when we think about competitors, and see others out there, in general, people will bring us in whether or not they have other sources of information. So the one example I give is on our diversified segment, a lot of people use list vendors, things like ZoomInfo where they might do something like that across industry, but they'll still bring Definitive in to help with their health care focused sales and marketing efforts, because we're so much deeper in health care than anyone else out there. We enable use cases for them and help them grow their business more effectively in health care than anyone else out there. On the Life Science side, particularly in biopharma, we do see some of the companies you mentioned. In general, if I look at, like, say, Aviva, Aviva is still primarily a CRM. And so clients will oftentimes work with us for our data. Again, it's very unique data, and then load that data into their CRM to make their CRM more effective. So we tend to have a much more symbiotic relationship in those situations. Most clients in the space have worked with or work with IQVIA in some way, shape or form, but that still doesn't prevent us from coming in and developing very strong relationships again, because our data is unique, and our data tends to satisfy use cases that really require understanding the mapping of the ecosystem and the references and affiliations inherent they're in. So yes, we always fight for every deal and every once in a while, someone might compare us and stack it up against someone else, but we generally win on our independent value proposition because we're unique relative to those others.
Saket Kalia: Got it. Got it. That makes a lot of sense. Rick, maybe for you. I'm just curious, I understand that this quarter, we start to see a little bit of impact on to the upsell sales cycles as well. But I was wondering if you could just talk about kind of broad brushes. What percent of the business kind of comes from new logo business? And I mean, upsell, if you can disclose, but I guess the net retention from existing customers so far has been pretty solid. The new business, of course, is the one that has the potential to be most impacted by the macro. How big is that either on a bookings or a billings basis? And do you feel comfortable that we've sort of reached a low enough point where you feel that part of the forecast has sort of been derisked?
Rick Booth: Well, we have prudently assumed that new business will be a smaller percentage of our growth in 2023. We won't formally guide 2023 until our February call after which we will have seen the Q4 renewals. But we've tried to be prudent there. We've assumed in our base case scenario that Q4 and all of 2023 look like Q3.
Operator: Our next question comes from David Grossman with Stifel.
David Grossman: So if I could just kind of follow up a little bit on your prepared remarks in the context of the high-level thinking about next year. And thank you very much for that, by the way. That was actually very helpful. Did I hear you right that you said that if things stay the same that we grow mid-teens and if things get modestly better, it would be closer to 20%? So can you help us maybe understand where do you see the leverage points from a revenue perspective? Is it more just growth in existing versus new logos? Is it certain segments like kind of biotech? Just trying to understand what may be some of the indicators we should be looking at that may have the most kind of dynamic impact, if you will, in next year?
Rick Booth: Yes. I think the Q4 quarter is a super important quarter as we finalize our outlook on 2023. As you recall, we have a large number of renewals that occur in that quarter. I would also keep an eye on industry conditions vis-a-vis providers and biotechs. I would hope that this disruption is transitory. We've tried to be conservative and assume that it lasts for the whole period. But those are some of the leading indicators that I look at.
David Grossman: And as you think about, again, the margin profile next year, I fully appreciate kind of the desire and need to reinvest and -- independent of the economic environment given you're highly profitable already. Is there reasons to think that, that changes with better revenue growth? Or do you think just based on where we are right now, kind of margins or maybe even just modest margin improvement is the way to think about next year, whether we get kind of some late kind of impacts that may favorably impact the revenue growth?
Rick Booth: I think we've definitely got opportunities there. Let me just go one level deeper on thinking through the 2023 margin outlook. What we're assuming right now is that we have two existing data sources coming online in January. Those are both related to claims information. They are significant additions to our core capabilities. They will help us drive both innovation and additional business. That takes about 200 bps off of gross margin. That's partially offset by efficiencies within OpEx. We're cutting G&A expense, and we're investing in a very targeted way in both sales and marketing and product development.
Robert Musslewhite: I'd just add that the dynamics of our model. Generally, growth is very profitable. So as we inflect growth upwards, and we will do that as we emerge from this economic environment, we have plenty of demand pent up. We feel like these are the first dollars that people want to spend when they can, because it's spending on growth. So as those conditions improve as revenue increases, we do have a lot of scalability inherent in the model.
David Grossman: Got it. And just one last question, if I can. Just in terms of the biotech and provider segments as a percentage of revenue. Can you just update us and give us some kind of guidepost in terms of how big they are as a percentage of revenue?
Rick Booth: The two combined are between 1/3 and 1/4 of the revenue. So meaningful but not the majority.
Operator: Our next question comes from George Hill with Deutsche Bank.
Maxi Ma: It's Maxi on for George. So we've been talking about the sales cycles getting longer as clients have more hoops to jump through to approve the deal. But are you seeing any pressure on pricing? And if the condition deteriorates going into next year, is lowering prices an option to drive growth?
Rick Booth: We're not changing our approach to pricing. We are seeing some competitors that are doing that, but we're focused on the long term.
Maxi Ma: Okay. Got it. I have a quick follow-up. We have been hearing about hiring freezes or layoffs in a lot of tech companies. Are talents easier to get now? And do you expect it to help relieve the wage pressure you're seeing right now?
Robert Musslewhite: It's an interesting question about the labor market. On the one hand, we have seen those trends out there in the market as well. On the other hand, there are still some areas where we felt like hiring has still been tight and can take a while. So our sense is that we will continue to be -- do everything we can to remain a destination employer for talent while being prudent in where we continue to make investments for the future.
Operator: Our next question comes from Jonathan Yong with Credit Suisse.
Jonathan Yong: Given where we kind of are standing right now, possibly teetering on a recession. I guess, how are your clients kind of thinking about that? Do they -- are they expecting that it does get worse? Or are they kind of going along with the status quo right now and that they're just on pause? Just trying to get a sense of if things do get worse, would they actually pull back? Are these going to get delayed out longer? Just any color on what you're hearing from your own clients?
Robert Musslewhite: Yes, we've heard pretty consistent -- pretty consistently from our clients that our buyers really want to work with us. They feel stymied by internal processes and budget processes that have been put in place across the latter portion of this year. Most of the conversations that we hear on this front have to do with this period. So we hear a lot about whether or not they have the opportunity to persist and continue for this period or whether they are stymied, what's this period budget look like as in this quarter. So our clients are not coming out and saying, hey, this is something that we're going to put on hold for another year. It's a question of weeks or a month here and there. So that's what we've heard. The other thing I'd remind you and just I think when we look at where clients will spend and we've seen in the past is, they want to spend around their growth. So even in a tougher environment, these are the dollars that they would like to spend, because they really do help our clients grow. That's where our value comes. It's where our solutions are targeted. It's about driving increased sales or increased growth for our clients. And so even in a tougher environment, once there's clarity and stability about where things are headed, we feel good about our chances to continue to win deals and get back to historical close rates.
Operator: Our next question comes from Ryan MacDonald with Needham.
Matt Shea: This is Matt Shea on for Ryan. Appreciating that in Q4, it's a big renewal month but -- or a big renewal quarter, but assuming that you guys have done some renewals over the course of the year, wondering if you could kind of comment on how those renewals are going and maybe the upsell activity that you've been seeing with those renewals and then assuming that the upsell activity with the renewals has not been as strong as expected. If you don't upsell during a renewal, does that kind of box you out until the next renewal process? Or do you feel like clients can still add on additional modules maybe outside that renewal process that will help you still grow the number of modules with clients over time despite the elongation of the sales cycle in the near term?
Rick Booth: GDR was -- overall GDR was virtually unchanged in Q3 '22 versus Q3 '21. As Robert mentioned, customers see real value in these solutions. There's more pressure on the upsell portion. But the good news is not getting an upsell at the time of the renewal keeps the option open to continue to work. And we believe there is a dynamic where it's just taking more time for the end users, who highly value our solution to flow that up the chain through to executives. So that's a lever that we're going to be working as we move through the year.
Matt Shea: Got it. Appreciate that. And then in a similar vein with that elongation in the sales cycle, we've heard similar things from other customers, but also heard some success from other companies. We've also heard some success though with them using pilots to get into their customer account, have them use the product and then bring that up to their exec team and it's helping to smooth out the sales process. I know that's not something you guys are particularly fond of pilots, but are pilots or any other kind of go-to-market changes on the table as you kind of manage through this elongation?
Robert Musslewhite: I would say that, of course, we're responding to the elongation as best we can. So things like training our sales team to paint a broader map of potential client constituents and franchising them earlier in the process. Frequent process management at the deal-by-deal level, being sure our materials reflect clear ROI. We have fantastic client ROI stories, like I mentioned in my script on the website. How do we be sure that our commercial teams are highlighting the potential ROI to clients, and while we don't do pilots like you say, we can show a lot of the value through the site. We can sit down with the client and explain based on their business and the data they're looking for, here's how we put data in their salesforce hands. It's very clear where they get the value. So I think we do as good a job with that as we can in terms of getting clients and franchise. And then positioning our products so that we're well set up to cross-sell. So -- for example, in biopharma, we have several solutions, we can tell that all add value and they're all complementary doing a better job of showing all that so that when the time comes and the budget opens up, we're there for that opportunity. So I do feel like we're being responsive to the environment and doing everything we can, not doing things that don't make sense for the business, but doing things that should help. Again, as approval processes open doors, we want to be right there ready to jump in.
Operator: [Operator Instructions] Our next question comes from Brian Peterson with Raymond James.
Johnathan McCary: This is Johnathan McCary on for Brian. Just be the one from us. So you focused on M&A in the past, and I've talked about the success with Analytical Wizards, but now kind of balancing valuation compressions with an increased focus on profitability, given the macro, how are you thinking about investing for growth from here?
Robert Musslewhite: We continue to see M&A as a great lever for us. We -- again, you mentioned Analytical Wizards, and if you go back to Monocl, those have been really great capability additions to our portfolio and really good financial acquisitions for us. And we're thrilled to have both teams on board as part of what we can bring to market. So we'll continue to look out there at companies that have that nice mix of an additional capability that we can add on as well as a good financial profile, a fast-growing company, a company that can approach our margins over time and a company where we have a lot of synergy in taking their product out to our clients and putting their data capability onto our platform to enhance it. And there are a lot of companies out there like that. You mentioned as valuations pull in, in our experience, the private market always takes a little while to adjust to things going on in the public market. So we'll continue to be prudent in terms of looking at what we might pay for certain assets, but we'll continue to be very active, and I expect us to stay on pace to do one to two deals per year. In terms of other investments, I mentioned earlier, we're being prudent and want to be sure that we're tailoring investment against the highest value growth opportunities. So in an environment like this, being sure that every dollar we're spending has a meaningful return associated with it. We have a huge TAM and great opportunity across clients and we think long term. So we'll continue to develop products. We'll continue to enhance our platform. We'll continue to add new data sources, but we'll do that in a very careful investment environment to be sure it's tailored against the highest opportunities and the best opportunities.
Rick Booth: Speaking of adjustments, I just want to remind people, we have a very high LTV to CAC, which supports our efficient sales model. And we also, from a development perspective, the foundational data that we add to our unified data is foundational. It helps us to spin off additional innovations as well as increasing demand for the product. So it's an inherently efficient model in which we can be very targeted with our investment.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Robert Musslewhite, CEO, for any closing remarks.
Robert Musslewhite: Thank you all for your attention. I know tonight it was a big night with lots of calls. We appreciate the questions, and we'll look forward to talking with many of you and seeing many of you in the coming weeks.
Rick Booth: Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.